Operator: Hello, ladies and gentlemen, thank you for standing by for the Second Quarter 2020 Earnings Conference Call for Qutoutiao, Incorporated. At this time, all participants are in a listen-only mode. After management’s remarks, there will be a question-and-answer session. Today's conference call is being recorded. I will now turn the call over to your host, Sai Chi Du. Please go ahead, Sai Chi.
Sai Chi Du: Thank you very much. Welcome, everyone, to the second quarter of 2020 earnings conference call of Qutoutiao, Inc. The Company's financial and operational results were released via Newswire Services earlier today and have been made available online. You can also view the earnings press release by visiting the IR section of our website at ir.qutoutiao.net. Participants on today's call will include our CEO, Mr. Eric Tan; and our CFO, Mr. Xiaolu Zhu. Before we continue, please note that today's discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, the Company's results may be materially different from the views expressed today. Further information regarding these and other risks and uncertainties is included in the Company's prospectus and other public filings as filed with the U.S. Securities and Exchange Commission. The Company does not assume any obligation to update any forward-looking statements, except as required under applicable law. Please note that the Qutoutiao's earnings press release and this conference call include discussions of unaudited GAAP financial measures, as well as unaudited non-GAAP financial measures. Qutoutiao's press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited GAAP measures. I will start by reading out Eric's commentary on the business. So far this year, strategically, we are maintaining a good balance between growth and profitability, in other words, sustainability and healthy growth have been playing a very important role in our thinking as COVID-19 put a dampen on the general economy in the first half, we have taken relatively cautious approach to managing the overall business.  Despite the generally weak market and the slow recovery, for the first half of this year, our business expanded at mid-teens in comparison to a year ago in terms of sales. This is the result of all our hard work and unwavering investments. It’s the demonstration of the value we create for advertising customers, as well as our loyal users who have been the biggest support for us during challenging times like this. Our operational efficiency has improved tremendously as we have kept overall costs well on control as the business expands. We manage to operate on a smaller sales and marketing budget while maintaining a larger user base, which has very positively impacted our profitability, at the same time we invested more into areas we deem to be strategically important over the long-term, mainly technology, algorithms and content.  We have been selective, i.e., not as - as just adding headcount everywhere, instead we are trying to getting a better picture of what we need to drive better growth for the business longer term and prioritize strengthening different segments at our capabilities accordingly.  To achieve our long-term objectives, we will continue to focus on content and technology, since we started to directly sign up license from Midu Novels, we have been increasingly seeing this strategy paying off at the share of the most popular novels keeps increasing and most recently reached 50%. That have been an important part of our consumer strategy as we integrate vertically. We will be able to extract much more value from the same IPs.  Most recently, our Midu Novels also formed a strategic cooperation with Qutoutiao in short video series. This will leverage Midu’s content and Qutoutiao’s user traffic. This will raise the profile of Midu Novels original content and it creates a much stronger basis for the longer term harvesting of the derivative IP value coupled with continued improvement in our recommendation engine.  We see enhanced monetization efficiency which has allowed us to drive down using engagement costs while increasing ARPU. We feel encouraged by the strategic progress we have been making especially with respect to content and technology and we expect them to be the key pillars supporting our future developments.  Our financial performance is also trending in the right direction which keeps us further confident that we are taking the right steps.  On July the 16th, 2020, China Central Television reported in its Annual Consumer Rights Show that certain advertisements placed by third-party advertising agents on Qutoutiao exaggerated the health benefits of certain food and diet products and promoted activities that may involve online-gambling.  In response to the issues raised by the Report, the Company promptly took appropriate measures such as immediate suspension of all employees involved in these advertisements, including the person in charge of advertising operations, stricter management of all third-party advertising agents, enhancement of content management capabilities in identifying misleading or inappropriate advertisements, and the launch of an easy-to-use and easy-to-find complaint channel on the home screen of Qutoutiao so that users can file their complaints with us about any advertisements placed on our app. The Qutoutiao app was temporarily removed from several major Android-based app stores in China after the CCTV Report but was reinstated on July the 31st, 2020.  It is our commitment to bring real value to our users and it is against our – that less than 100% compliant content should appear. The adding of these comes with some inherent risks that the player has to manage and which we are also truly aware of. We have always closely followed rules and regulations of the industry and the country.  We aim to build a better content ecosystem for every stakeholder on our platform. We would like to use this incident as a chance for us to further build on the content ecosystem on our advertising platform, which is part of our core strategy to establish a solid foundation for driving long-term growth and strengthening our competitive advantages.  We have also taken the time to reflect on the current state of the advertising industry from both a seller and a buyer’s perspective that recalibrates our growth strategy. Going forward, we will deemphasize growth through spending marketing dollars and drive growth predominantly through engaging content, great recommendations and an excellent user experience.  We remain motivated by and committed to our long-term vision of bringing rich and diversified online content to millions of users across the country. We started the business in the first place as we saw the lack of tailored online products and services for people in the low-tier cities, which is the vast majority of China’s population and this gap remains large still as of today and will inevitably be filled as our society moves forward and organization is built with income growth, As the first internet company to dedicate effort and resources to tackle this problem, we are well positioned to serve the great purpose and create significant value for all our users in the long run.  Thank you very much. That concludes Eric’s remarks and I will now turn the call over to our CFO Xiaolu. 
Xiaolu Zhu : Thank you, Eric and Sai Chi. And again, thank you, everyone, for joining today's call. Let me first go through the financial highlights of the second quarter of 2020 before touching our financial objectives for the remainder of this year.  Our revenues for the second quarter was RMB1,441 million, which represents an increase of 4% year-on-year and some moderate sequential growth as well. This has been driven by user base expansion as our DAU has increased by 11% year-on-year, albeit partially offset by the weaker ARPU which saw a 6% decline reflecting the difficult advertising markets and the generally weaker economy in the second quarter.  We have been working hard to improve our operating efficiency and have seen greater results so far this year. Our operational loss ratio has narrowed to just under 10% in the second quarter of 2020, which is a record low and a significant improvement both year-on-year and sequentially continuing a very positive trend we have delivered in recent quarters.  This has been achieved with much more targeted and efficient marketing spending in terms of both acquiring new users, and the user loyalty programs. This testifies to the strength of a combination of core capabilities in content and technology, which we have invested into consistently.  Now let’s look at the costs and expenses in more details. Unless otherwise stated, please note that I will be referring to non-GAAP measures which means share-based compensation is excluded. Cost of revenues were RMB397 million in the second quarter, an increase of 10.4% from a year ago, primarily attributable to increases in content-related costs reflecting the company’s long-term vision to build a platform delivering high quality online content to our users.  Gross profit was RMB1,044 million in the second quarter, an increase of 1.7% from a year ago. Gross margin was 72.4%, compared to 74% in the second quarter of 2019. The decrease of gross margin year-over-year was mainly driven by the growth of content-related costs.  R&D expenses were RMB195 million in the second quarter, an increase of 6.1% from a year ago. Sales and marketing expenses were RMB922 million, a decrease of 29.6% year-over-year.  Sales and marketing expenses as a percentage of net revenues was 64% in the second quarter of 2020, compared to 94.5% a year ago continuing to hit record low. User engagement expenses were RMB457 million in the second quarter, a slight increase of 1.7% year-over-year and a decrease of 9.9% quarter-over-quarter.  User engagement expenses per DAU per day were RMB0.12 in the second quarter of 2020 and compared to RMB0.13 in the second quarter of 2019. The decrease of the user engagement expenses year-over-year was primarily due to the company’s ongoing efforts in optimizing user engagement expenses for its loyalty program, as well as the enhanced personalized reading experience facilitated by our AI platform and our enriched content library.  User acquisition expenses were RMB436 million in the second quarter, a decrease of 44.7% year-over-year and 13.2% quarter-over-quarter. User acquisition expenses consist of the cost of both referrals and third-party marketing. The decrease mainly reflected the company’s efforts in optimizing its acquisition strategy and to a lesser extent, the weak advertising and marketing environment in the first half of this year.  G&A expenses were RMB92 million in the second quarter. Non-GAAP loss from operations was RMB140.6 million in the second quarter of 2020, compared to RMB506 million a year ago. Non-GAAP operating loss margin was 9.8%, compared to 36.5% in the second quarter a year ago, an improvement of over 36%.  Non-GAAP net loss was RMB173.3 million, compared to net loss of RMB496.3 million in the second quarter of 2019 and non-GAAP net loss margin was 12%, compared to 35.8% in the second quarter of 2019.  Now on to the outlook for Q3 and second half of 2020, the CCTV Report which Eric referred to earlier caused the Qutoutiao application to be taken off app stores for a short period of timing earlier Q3. The company has observed negative impacts on its business operation and financial performance due to this in this quarter and is still evaluating the extent of such impacts.  Qutoutiao highly appreciates the importance of strict compliance with all applicable laws and regulations and believes the measures taken by the Company are critical to protect the interests of its users and investors in the long-term. For the third quarter of 2020, the Company currently expects net revenues to be between RMB1,130 million to RMB1,150 million. This outlook reflects Qutoutiao’s current and preliminary view including preliminary assessment on the potential impacts from the CCTV Report, which is subject to uncertainty. In terms of the bottom-line, we expect our operating loss to be narrow significantly on a year-over-year basis and flat on a quarter-to-quarter basis in the third quarter and we remain committed to further improve our operational efficiency as we have achieved consistently over the past several quarters and we expect this trend to continue in the fourth quarter of 2020 and beyond.  This concludes today’s prepared remarks. Again, thank you all very much and we are now open for questions.  Operator, please proceed. 
Operator: [Operator Instructions] The first question comes from the line of [Indiscernible] of KeyBanc Capital. Please ask your question.
Unidentified Analyst: Thank you, management for taking my questions. I am asking the questions on behalf of Hans Chung. So I have two questions. My first question is about the third quarter guidance. So, the third quarter guidance is much lower than the consensus because of the CCTV Report issue. But, if and when we add back the two weeks’ runrates due to the temporary removal of Qutoutiao App from Android App stores, third quarter guided revenue is still well below consensus. So, could you elaborate on the causes for that as ARPU gets impacted because while you are cleaning out those non-compliant ad?  And my second question is, although the third quarter revenue is guided down quite a bit from the second quarter, operating loss is still expected to be flat sequentially. So, where are we cutting the most in expenses? Thank you. 
Eric Tan: Thank you [Indiscernible]. These are very important questions. So, regarding your first question on Q3 guidance, I think, as we have said in the prepared remarks, both us and our advertising partners are quite cautious about the CCTV Reports and we took extraordinary measures to make sure that our content ads are compliant. I would say that we went above and beyond with the laws and regulations as well as industry practice would normally require in China.  And the second reason and has been more important reason is that we have said strategically in previous earnings calls is that we want to take a more balanced approach between profitability and growth. So this means three things, first is that, because we took and will continue to take a more disciplined approach to our investments, especially on the marketing side and we would require a good ROI for every marketing dollar we spend.  So we are likely to see a more subdued growth trend in terms of both revenue increase and user base expansion in the near-term rather than the networking speed we have experienced back in 2018.  Second, we want to make sure that we get to break even or some profitability by the end of this year and this is the key priority for us and we will continue to see top-line growth going into Q4 and beyond. But the more important target for us right now is to get a positive bottom-line.  And last but not least, we want to further shift the user base mix to our users that are attracted to our platform by content in news feeds, short videos or novels and et cetera. We want our loyalty program to stimulate and encourage our users to stay engaged with us by the way don’t want them on our platform purely for the loyalty points.  So, as we have said before, we believe content and recommendation algorithms are the key pillars for our future growth and the user base build on these would be a good foundation for our 100% growth.  So, regarding your second question, ARPU and breakeven, I think we still target to be breakeven in Q4 on a non-GAAP operating basis. And we are in already very close to breakeven in June and despite the recent setbacks, we expect the operating loss in Q3 to be in line with Q2 and to improve significantly compared to the same period one year ago.  So, given the recent trends, the recovery of our revenues, as well as the usual seasonality, which means that Q4 usually will be the best season for advertising of the year. We are very confident that it will continue to improve our operating efficiency in the rest of the year and to get to breakeven in Q4. And if you look at the major line items, I think first, that we will continue to invest in content and technology, which we believe is vital to our long-term success and we will keep a similar level of investment in absolute dollar terms for content and technology.  Total sales and marketing expense was at like 64% of our revenue in Q2 over 30% improvement year-on-year and we believe this trend will continue and we will definitely see further operating leverage from this end for the coming quarter. And effectively, our savings from user engagement expenses with better algorithms and better content as we have explained in the prepared remarks.  So, our user engagement expense at RMB0.12 per user per day and only about half the level from the peak two years ago and we plan to keep that figure at the similar level or even lower for the coming quarter. And in terms of Q3, we have been very conservative so far this year and we probably will continue this approach as well. So, if you look at our bottom-line, non-GAAP operating loss margin for Q2 was less than 10%. As we have said in our Q1 earnings call, we see at least 10 percentage point improvement in Q2 compared to Q1 and later improvement was over 15%.  So, in all, we are still very confident to get non-GAAP breakeven by Q4 and along the way, we will also have a better user mix with more users attracted to our platform by our content. Thank you. 
Operator: Our next question comes from the line of Vicky Wei of Citi. Please ask your question. 
Vicky Wei : Thank you, management for taking my question. So, you shared a bit about breakeven target for the second half from here as what is your company’s strategy to maintain user growth and reduce cost to achieve profitability. So would you please elaborate about the user growth strategy and while you advertise the profitability?  And my second question is, what does management think of the second half advertising market sentiment? And what do you think how long the CCTV impact will last? Thank you. 
Eric Tan: Thank you, Vicky. So, to your first question regarding our user growth, I think as we have expressed before that we do want to make sure that we will continue to have long-term sustainable growth and we want to take an approach balanced between profitability and growth. But obviously, we want to be profitable at the DAU level of over 100 million rather than the current 40 plus million.  But however wait to want to make sure that we are on the right path for long-term growth and also want to prove the value of our users and our business model and we think to achieve profitability this year is the right choice given the uncertainty in the market. And, but as I said, we still plan for a healthy user base expansion and revenue growth for the coming years.  The other thing to note is that, this is a result of a more disciplined spending instead of simply cutting the budgets, which means that we are getting the results we want with good ROI for each marketing dollars we are spending and if the market recovery continues and if the ROI is right, which we believe it will, then we will not hesitate to invest for the future.  The other thing that we have already said is that we want to have a better user mix. We want users that are attracted to our platform by content with news feeds, short videos or novels and et cetera. We want our loyalty program to encourage our users to stay to engaged with us. By the way don’t want them to be on our platform purely for the loyalty points.  So, we want to make sure that, along the way in our path to profitability, we will get a better user base mix and this will be a good foundation for our long-term growth.  Regarding your second question on the overall markets, I think that we have seen the market start to pick up in the second half of 2Q and this trend continued in Q3. So, it’s still not back to the levels we have seen before the pandemic, but overall trend in the market looks promising.  As we have said in the prepared remarks, the CCTV Reports caused the Qutoutiao application to be taken off the App stores for about two weeks. We have observed negative impacts on our business operations and financial performance due to this in Q3 and we are still evaluating the extent of such impacts.  But as we have said, we have already seen a trend of recovery and we are seeing the growth and recovery will continue in Q4. Thank you. 
Vicky Wei : Thank you. 
Operator: Your next question comes from the line of Thomas Chong of Jefferies. Please ask your question. 
Unidentified Analyst: Hi management. Thank you for taking my question. I am asking on behalf of Thomas Chong. My first question is about the content cost trends. As exclusivity is committed to deliver high quality content to user and this will continue to be our goal to drive the user engagement, do you expect to see continued increase in content cost and could you also share on the revenue sharing plan with content Qutoutiao?  And my second question is on the [Indiscernible]. So after talking about the cost content trend, how should we see its impact on the – and increase are quarter-over-quarter in the second quarter? Should we continue to expect margin expansion in content? 
Eric Tan: Thank you. So, regarding your first question in terms of content cost trend, yes, we have made significant investments on the content side especially for Midu for the last few quarters or for the last one, two years. And in terms of our revenue sharing, I think as we have explained before, because there are lot of freelancers and other content contributors to our news feeds business.  I think the content sharing for the news feed side of the business will continue to be quite low, less than 10%. And on the Midu side, we usually share about 20% of our revenue with our content providers. But as we start to grow this business and as we make more investment and sign more contracts with different content providers, there will be different contractual arrangements here and there.  So, there might be some fluctuation especially on the Midu side in terms of content cost from quarter-to-quarter. But I think overall the trend will continue to be stable. So, the content cost as a percentage of revenue I think probably will fluctuate from quarter-to-quarter, but remain at a similar level over the longer term.  So, in terms of GP margin, it’s basically the same question, because the main impact factor affecting our GP margin over the last few quarters are the content cost. And so, if we increase our content cost a bit from quarter-to-quarter, there might be some fluctuation to our GP margins. But I think overall, I think we will continue to see our GP margin at around 70%, or some quarter it’s over 70%. Thank you. 
Operator: Thank you. [Operator Instructions] As there are no further questions, now, I’d like to turn the call back over to Sai Chi Du. 
Sai Chi Du: Thank you all very much for joining us for today's call. And if you have any further questions, please don't hesitate to contact us at Investor Relations department. Thank you all and have a good day.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. You may now disconnect your line. Thank you.